Operator: Good morning, and welcome to the Brown & Brown Fourth Quarter 2011 Earnings Release Conference Call. Today's call is being recorded. Please note that certain information discussed during this call, including answers given in response to your questions, may relate to future results and events or otherwise be forward-looking in nature and reflect our current views with respect to future events, including financial performances. Such statements are intended to fall within the Safe Harbor provisions of the securities laws. Actual results or events in the future are subject to a number of risks and uncertainties and may differ materially from those currently anticipated or desired or referenced in any forward-looking statements made, as a result of a number of factors, including those risks and uncertainties that have been or will be identified from time to time in the Company's reports filed with the Securities and Exchange Commission. Additional discussion of these and other factors affecting the Company's business and prospects are contained in the Company's filings with the Securities and Exchange Commission. With that said, I would now turn the call over to Mr. Powell Brown, our President and Chief Executive officer. Please go ahead, Sir.
Hyatt Brown: Well, you’re close. It’s Hyatt Brown and good morning, everyone. We have here in the room Cory Walker, our Chief Financial Officer. We have Scott Penny, our Regional President & Chief Acquisitions Officer; and Chris Walker, who is President of Arrowhead and Regional Executive Vice President of Brown & Brown. We are actually calling you this morning from the New York Stock Exchange, where we will have the opportunity to ring the bell this morning at 9.30. And so we are going to have to have a hard cut off right around 9:00 so we can get up to the floor and to the rostrum. At the outset I would like to say that we are sorry that Powell cannot be with us today. He is on a temporary leave of absence for health reasons as you know and we look forward to him returning and being back in the saddle in a reasonable period of time. Having said that, I'll now turn over the call to Cory Walker.
Cory Walker: Thanks, Hyatt. Our net income for the fourth quarter of 2011 was $36.5 million and that was a strong improvement over last year's fourth quarter net income of $32.1 million. Our earnings per share for the fourth quarter was $0.25 and that was up 13.6% from the $0.22 we earned in the fourth quarter of last year. Now, excluding that ridiculous line item, change in estimated acquisition earn out payable, which was a credit to income for both the quarter and the year-to-date income statement, the adjusted earnings per share for the fourth quarter of 2011 was $0.24 and that’s still up 9.1% from an adjusted $0.22 in last year's fourth quarter. From a revenue standpoint, our commissions and fees for the quarter increased 5.4% or $12.3 million to $241.4 million and that's up from the $229.1 million from last year. As always, we have these in our press release the internal growth table that shows the internal growth on core commissions and fees, which is excluding contingents as well as any small books of business sales, that kind of thing. And so on the fourth quarter of 2011, it shows that we received $4.8 million of profit-sharing contingent commission. That's $1.4 million less than the $6.4 million that we received last year in the fourth quarter. The difference was mainly due to the profit-sharing contingent commissions that were paid to FIU. FIU actually received more than what we had originally projected, but it was still down from last year, because if you remember in 2010, they'd actually received an additional profit sharing that was really kind of delayed from what normally would have been paid in 2009. Additionally, we did receive about $400,000 more contingency income in our Wholesale Brokerage division. Now look at the internal growth schedule. We had a negative internal growth rate of only 0.6%. Our total core commissions and fees for the quarter increased 7.1% or $15.6 million of new total commissions and fees. However, within that net number was $17 million of acquired revenues, and that means we had $1.3 million less in commissions and fee revenues on a same-store sales basis and that's hence the 0.6% negative internal growth. As the internal growth schedule indicates, the vast majority of the negative growth was primarily from our retail division, and then Hyatt will talk about each of the business segments in a moment. However, before we move on to other financial numbers, I need to tell you that in the Form 10-K that we'll file for this year, the internal growth schedule that we put in the 10-K, that is the only table where we have historically broken out the three separate groups within the Retail Division as well as the two separate groups within National Programs. All the other segment information in the 10-K is all based on just our true divisional segment reporting of just Retail, Wholesale programs and services and because of this semi kind of reporting conflict of the accounting profession perceives that could exist between that, on an ongoing basis, we are only going to report the internal growth on the pure segmental divisional basis. So moving on, our investment income had a small increase of $29,000 from prior year's fourth quarter and that's mainly just as a result of increased levels of invested cash. Other income increased $1.9 million and that was primarily due to the sales of a few books of businesses in the fourth quarter as well as a $914,000 legal settlement that we won over some fees that were not paid to us. As it relates to our expenses in our pre-tax margin, our pre-tax margin for the fourth quarter of 2011 was 24.5% and that's compared with our prior year's fourth quarter margin of 22.6%. That's an improvement of 1.9 percentage point. If you exclude that line item change in estimated acquisition earn-out payable, our pre-tax margin for the fourth quarter of 2011 was 23.3% and that's compared with our prior year fourth quarter margin of 22.3%. That’s a true improvement of 1 percentage point. As we said before, as the headwinds of the economic and insurance rate downturns just slows a bit and it's not so strong, our margins will generally improve. Looking at employee compensation and benefits cost as a percentage of total revenue, it was 53% and that’s a slight improvement of two basis points from the 53.2% cost factor in the fourth quarter of 2010. The total dollar increase on a net basis in the employee compensation and benefits was approximately $7.1 million, of which $7.5 million was attributable to just the new standalone acquisitions since last year. Therefore when you exclude the impact of these standalone acquisitions, employee compensation benefits on kind of a semi same-store sales basis actually decreased by $400,000 and that $400,000 was mainly the combination of decreases of about $3.3 million in management staff as well as producer compensation expense, a decrease of about $0.50 million relating to our group health insurance. But then those decreases were substantially offset by a $3.4 million increase in profit center bonuses as well as other staff bonuses. Our non-cash stock-based compensation cost was $2.9 million in the fourth quarter of 2011, which is consistent with our guidance previously and the fact that we have increased costs to include relative to the new stock incentive plan which we were refer to as SIP that came about in the first quarter of 2011. We issued a new stock incentive plan grants this year to the management and staff of Arrowhead as of January of 2012. We also granted additional SIP grants to new producers who now have productions in excess of $500,000 per year as well as any new profit center leaders, and therefore our total expense for the non-cash stock-based compensation looking into 2012 is expected to be around $14 million. In the current quarter, our other operating expenses decreased as a percentage of total revenues 0.8 percentage points to 14.2% of total revenues. The total dollar net decrease in other operating expenses was only $5,000, but of which $2.2 million of this net aggregate total it was attributable to just the new standalone acquisition. Therefore, on a comparable again same semi store sales basis, those offices had an aggregate reduction of other expenses of approximately $2.2 million. So therefore we had – what makes that up is we had decreases of $1.2 million in our claims and settlement expense and the related reserves. We had another $1.1 million decrease in general office rent expense and another $900,000 in insurance cost savings. Our amortization and depreciation expense on a combined basis was up slightly of about $600,000, which was against the comparable 2010 fourth quarter, and that’s obviously due to just acquisition activities. Our interest expense is consistent with our expected quarterly expense of approximately $3.4 million. Our interest expense for 2012 will increase with the $200 million of additional debt that we took on in January of 2012 associated with the acquisition of Arrowhead. The $250 million of fixed coupon rate debt that was existing on 12/31/2011 has an effective rate of approximately 5.34%. But now with the additional $200 million of Arrowhead related debt, we’ve added a nice component of floating debt to our capital structure and that will be at LIBOR plus 1%. So as long as the LIBOR stays at 1% or less, our total interest expense for 2012 should be somewhere $17 million to $17.5 million per year. Our change in estimated acquisition earn-out payable was a credit during the quarter of $2.9 million, versus just $600,000 in last year's fourth quarter, and thus a net change of about $2.4 million or $0.01 per share. That credit occurred as a result of reducing the earn-out liability as of the year end, estimated that would be ultimately earned and paid to several acquisitions. So we reduced the liability. Our effective tax rate for 2011 is approximately 39.4%, which is slightly higher than last year's effective tax rate just marginally, which was 39.2%. So the trends we just talked about are pretty much the same for the year-end and you've heard the previous three quarters conference calls. So we won't get into the year-to-date numbers, just to say that the earnings per share for the year of 2011 was a solid $1.13 and that's a 0.9% increase from the $1.12 we earned in the year 2010. Now, as you all start to build your models for our earnings for next year, let me just give you some basic projection on some numbers for 2012. And that is, our depreciation expense looks like it will be about $14.8 million for the year. Our amortization expense for 2012 should be around $62.5 million. Our interest expense as I previously said was about 17, you know 374. Our non-cash stock grant as I previously said too was about $14 million. And then our effective tax rate for 2012 will move up because of the acquisition of Arrowhead and we will be somewhere in the range of 40% to 41% on the effective tax rate. Now, as you know that each year we do our budgets and they are generated from the ground up from each one of our profit center leaders. As Hyatt will talk more about the specific rate and the economic issues, he'll talk a little bit about how choppy the first part of the year is. So just from a perspective of the first quarter, our first quarter earnings per share should be close – should be modestly close to what was the first quarter of 2011. So with that, Hyatt, I'll turn it back to you.
Hyatt Brown: Okay. Thanks, Cory. Very good report. We'll start off, I'm going to review Retail then Wholesale programs and then services. Looking first at Florida in Retail, the northern tier of Florida, which basically is Jacksonville, Pensacola, property rates new is flat to negative 5%. Renewal is flat to up 5% if it sticks. And there's a lot of pushback depending upon construction, depending on location et cetera, et cetera. Citizens wind rates are the same, no change. Multi-peril, now this is Citizens multi-peril. It has a small effect on us, a little and it has to do with writing of insurance, including the other EC, fire and EC perils in addition to wind on inferior construction, and those rates around the state are going up 15% to 20%. Workers' compensation, there's an 8% rate increase and the exposures are flat and less is construction. Construction is still going south, maybe 2% to 5%. Largest contractors flat to up just a little. GL and Auto is – the rates zero to plus 5% to minus 5%. It’s kind of wormy and the Umbrellas, the first $2 million looks like maybe a 5% increase. Now, one of the things that’s starting to happen and you'll probably hear me comment about this through my report, is that underwriting, believe it or not, is now starting to be in vogue again. Moving down to Central Florida, the I-4 corridor which would be Daytona Beach, Orlando, Tampa, St. Petersburg, property new minus 5% to minus 10%. Now don’t forget that the RMS 11 model has taken – its greatest impact is in the central part of Florida, away from the coast and companies are really adhering to that. Having said that, there are some new entrants in the property area and particularly in Central Florida. So it’s minus 5% and minus 10%. Renewals would be 2% to 5% if it sticks. Citizens wind zero, multi-peril of course is up. If you look at Workers’ Comp and I mentioned that statewide it’s 8%, in central Florida we are seeing a slight increase in payrolls. Now that has to do really with Orange County which is Orlando and those are up maybe 1% to 2%, maybe 3%. And if you are an account that has poor losses in Workers’ Comp particularly, you are going to get some rate increase. You are going to pay more. The acceptance on new accounts is tightening. GL and Auto and Umbrellas in Central Florida is really zero to minus 5%. Employee benefits. Now the employee benefits and you'll hear me talk about this throughout the country, it’s really kind of very similar in terms of small groups and larger groups, in terms of what's happening, except in Florida. Now, quite frankly, we have seen a couple three, maybe three rate passes. I haven't seen a rate pass I don’t think almost ever in Florida as far as the accounts that I have been knowledgeable about. Rate pass is simply when the risk bearer says, we are good to go, same coverage, same benefit, no rate increase, 12 more months. That’s, very, very unusual in the larger groups. Smaller groups, we are seeing less than 50 line items. We are seeing up 5% and of course those are the ones that are still struggling and they’re worming around so that the cost doesn’t go up or maybe goes down and their exposure units are really flat to down, maybe 5%. However, in the larger groups we are seeing flat rates pretty much flattish and in some cases down 5%. Personal lines, we're seeing some rate pressure on that, particularly in the coastal areas and in Central Florida. Going into South Florida, property new, minus 5% to flat. Renewal is flattish. Now, on new condos and there are believe it or not some that are just coming online, we're now seeing non-admitted markets that will write wind on condos less than Citizens. That’s very unusual. Now, Citizens on wind-only is up on the rates about 12.5% on February 1st. And in the A rated business for Citizens, it’s an A rates where the property values are $10 million or more. Not changing the rates, but looking very carefully at construction and we're starting to see citizens determine that construction isn't exactly what they maybe thought it was originally, and therefore the cost is going up because of the change in the consideration on the construction. Workers Comp as I mentioned around the state is 8% and the economy in South Florida is flat. But it's getting a little better and particularly Dade County. GL and Auto again competitive zero. This is new to minus 5%. Umbrellas zero to minus 5%, unless they have a large auto fleet. And so if larger auto fleet, that's putting some pressure on. In the real, real South Florida area, that's Dade County. Bad loss ratios, any account that last year had a bad loss ratio was probably renewed at flat or maybe even down some. Now that's changing and particularly if it's auto, the bad loss ratio is going to pay more. And so we are now seeing occasionally, just occasionally where a renewal on a Workers Comp account, there is only one company willing to offer that difference. Now, let's move to Georgia, South Carolina, Virginia. Again that's a sweet spot for most companies. Property is new, it’s minus 5%. Renewal up two – plus 2% to plus 5% if it's fixed. GL and auto down 15. Renewal as new is down 15. Renewal is down maybe zero to 2%. Exposure rates are kind of flattish, although there is some movement in auto fleets, meaning more vehicles. Workers' compensation, it varies, but there are some revisions in the calculation of the experience mods that are putting more losses into the calculation, which is forcing up some mods above where they would have been. Personal lines, particularly along the coastal areas and in that area of United States are moving up 5% to 10%. Employee benefits, small. It's 5% to 12% up, again, in those smaller accounts there. Flat to down in exposure units. The larger accounts is about 5% to 8% and the exposure units seem to be flat. Now, construction is still not doing well, unless it happens to be a particularly large contractor moving into the Northeast. Believe it or not, no one ever really thought about what would happen if a class three or four, category three or four hurricane came up the Hudson River and of course if that occurred as the Northeast quadrant, which is the killer quadrant would cover Manhattan and Long Island and then crossover and hit Rhode Island and Connecticut, things would not be so good. And so coastal property in those areas is now starting to be looked at very carefully with eye towards the age, construction and therefore prices are going up a little bit. If it's good property, again it's still down 10% to 15%. GL and auto is minus 1% to minus 10%. One other thing that is occurring is that risk bearers, insurance companies are forcing higher values. In other words, they are looking at the actual insurance value of the property and therefore appraisals are showing it to be greater than in many cases what they are being insured for. Therefore the cost is going up, therefore the premium is going up. Again the exposure rate or the exposure unit in the northeast is flat to uppish a little bit, depending on where you are the economy is getting a little better. Employee benefits is basically kind of the same as it is elsewhere, except it seems like the small accounts on renewal is less than 50 would be up 10% to 12%. Again they are not accepting those, it’s being negotiated. And exposure seemed to be flattish. There are no rate passes that I found in the northeast, nor have I found that elsewhere in my discussions. One little comment is that we do write around the country a goodly amount of governmental business and in certain areas there are certain unusual things that are happening. For instance in the New Jersey school district, the employees now are having to pay part of the medical insurance. That's brand new, new law and that may reduce the number of participants because of just not wanting to pay it or being insured with this balance or, or, or. Out on Long Island, coastal Long Island, the companies are trying to push the values up. We are again seeing property, unless there is a coastal problem, is minus 10% to 15%. Auto though is – and GL is about even, maybe off a little bit and Workers Comp. Now, bear in mind, any place you are in New York, if it’s GL and it’s construction, it’s going up crazy and in the standard markets, if it’s still in the standard market, it might 15% to 35% to 50% because of the tremendous losses that are occurring. Again, this seems to be in this area of New York, a little less pressure on the small employee benefits accounts, maybe 0% to up 5% and then the large would be 0% to up about 5% also. So that’s a little variation. Exposure units seem to be flat. Looking more into Connecticut, Massachusetts, rates are flattish, exposure units are flattish, auto, GL, workers comp, employee benefits about the same as we’ve talked about elsewhere. Of course, in Connecticut I think the coastal concerns are more substantial than our people have a memory of the past. Going across the top end of New York, again, believe it or not, real underwriting is starting to take effect and rates on property are zero. This is new, 0% to minus 3%. GL and auto is 0% to minus. New York construction is going crazy up. And Workers Comp, it is kind of all over the lot, but probably flat to maybe down just a little bit. The exposure units across upstate New York are pretty flattish and it doesn’t seem to – New York State, as you probably will remember didn’t go down much and it hasn’t come up much. Moving out to the Northwest, which would be Washington State and Oregon. Property is flat to up 2%. GL and auto is flat to down 2%. Workers comp, now Washington is monopolistic so I'm talking about Oregon. Washington or Oregon is plus 2% in terms of rate and all the exposures out there seem to be flat. There seems to be a feeling that the economy in Washington State has probably bottomed out and that's not the feeling that I'm getting down in the Oregon area, still a little soft. Going into Phoenix now and Arizona, which is one of the most difficult areas. As you probably know, if you looked at the biggest down swoops in terms of our business, it's been Las Vegas, Phoenix and Naples, Florida, and those happen also to be the places where there was this greatest bubble of new homes being built. So when the bubble burst, I mean it hasn't come back. Now property rates there are flat and you’ve got to understand where you're in non-cat areas, then property rates are real, real low anyway. And so let's say you have a $0.06 or $0.07 property rates in Phoenix. If that was in Miami, it would be probably same thing construction, including when, it probably be $0.50 to $0.70. So that's a substantial difference. So if the $0.06 rate goes to a 10% increase, you don't get much and it's not – those rates are not going up. The GL and auto, again is zero to minus 2%. Workers comp now, the state fund is being privatized and it is competitive as are private companies. So that's down about 5%. Exposures and workers comp seems to be flat to down and less construction, and then it's down maybe 2% to 5%. Again, small groups and large groups are about like they are elsewhere. Moving over into Orange County or Orange, California, looking at what's happening there and this would be the Los Angeles basin, the state fund of course is the biggest on workers compensation. Property rates, kind of flat, exposure is flat. GL and auto there's some pressure there, 0% to 7% if it sticks. Exposure units are moving just a little bit, maybe 2% to 3%. Workers compensation is crazy. It could be down 5%, it could be up 10%, it could be up 12%, exposure units again flat. Now, one of the things I might mention is, is that across the country, we are now starting to see more APs are RPs. AP is additional premium on audit and an RP would be a return on premium. And so what that suggests to me is that when someone is renewing their workers comp as an example, or their GL, which would be based on sales, that they may be estimating a little lower than they think because they know they’re going to pay it on audit and therefore, maybe business might be a little better than what it might suggest. Again, the small and large employee benefits in that area are about the same as they are countrywide. The economy is a little bit flattish. Now let's move over to Las Vegas. Again that's one of the worst hit places as a result of the housing bubble. Workers comp is flat, but payrolls are down still. The only place that there – and we have a lot of – had a lot of construction accounts in Las Vegas, the only place according to what I understand that there's work going on is along the strip. And so if you’re a contractor, you’ve got some work along the strip, you’re going to be doing some business, otherwise not. And it's rather interesting that there are a few, believe it or not, new home contractors who are starting to build homes and the reason they're building homes is that investors have and are snapping up so many of the foreclosed homes that if they are not on the market yet, that anybody who wants a new home is going to have to buy a new home from a small contractor. And so that’s a positive I believe. Now that assumes they can get the financing. Then you move back in to maybe more of the oil patch, Texas, Louisiana, Oklahoma. As we all know, Louisiana is a bifurcated state from the standpoint of property. South of I-10 is and I'll quote one of our people from out there, the rates are squirrelly and the capacity is diminished. And so what that means is that you don’t know where the rates are at the moment. There is this pressure to push them up and if you have competition, they go down. GL and auto however seem to be pretty flat. Exposure units are pretty flat. Workers comp has gone up about 5% and marine risk of course has dropped off some because now that a lot of the vessels are laid up, it’s port risk only. Looking over into Texas. Texas, well everything on Tier 1 and those are the counties that are along the coast, that’s all in the wind pool. Get into Harris County and we’ll focus on those for just a moment. Harris County is a Tier 2 and property rates there are RMS 11, having some impact are up 5% to 8%. Casualty, as you know, it's moving little bit, 2% to 3%. Workers compensation is down 5%. Texas mutual is a big bear in the woods now up here. It’s not unusual to see flat renewals or maybe down 5%. Now the economy in that area seems to be moving up, maybe a plus 5% to plus 8%. Moving up into the Midwest a little into Indiana, Michigan, et cetera, property rates again are still 0% to 5%. Flat exposure units. GL and auto, 2% to 5% on renewal if you can get it, lots of pressure back. Workers comp is up just a little, 1% to 3%; and exposure, believe or not seen to be 0% to plus 2%, except construction and construction is just flat. Small group is about the same. The people there think that basically the economy maybe is starting to turn around a little bit. One thing that I thought might be of interest here, because we’ve been focusing a lot on property insurance, it is safe to say and you’ll hear some of this when we talk about our wholesale operation, it is safe to say that cat property is under substantial pressure, and non-cat property is still soft and wormy. An example of what's happening in cat kinds of renewals, our Axiom Reinsurance unit reports on January 1 renewals for the accounts with loss activity were plus 10% to plus 25% on their cat reinsurance for property. Last year, the same account would be flat to down 10%. Accounts without loss activity this year, 5% to 10% up, last year they would have been down 10% or more. So that’s a little background on reinsurance. Now let's move over to brokerage. Now, bear in mind there are things that are happening in wholesale area. Gray risks are starting to move from standard back to non-standard, and a gray risk is one of those that under normal conditions wouldn’t be in the standard market, but because of competition, they moved into the standard market and now because underwriting is starting to reoccur, they're being moved back, meaning non-renewed. So let's look at the southeast for wholesale. The property is flat to up 5%. There is a lot of pressure to push out rates and there are some rate increases that are coming along. Now, there is one substantial exception and that is anything of core construction, those people are going to take some more and it varies. And as we get into this over a period of time, this change that is apparently happening, we'll see some strange things in core construction. Frame risk, those are going up. Submission activity is up. That again reflects the great situation. There is lot of capacity. Casualty, we’ve been talking about property, casualty is down 5% to 10%. Sometimes it can be flat. There’s very little construction going on in the E&S area in the southeast, other than the few artisans and habitational property, those prices are being pushed 5% to 10%. Marine is down 10% to 15%. Looking out to Texas and middle part of the country out in the west, southwest, lots of things happening along the coastal area. I think it's pretty fair to say that if you take Brownfield, Texas all the way up to Baltimore and the E&S area, those are considered to be cat prone areas and those prices are under a lot of pressure, but capacity is there. And so again wholesale and casualty is flat to down 10% or 15% and the standard markets are still looking to write the good or even some of the great casualty risk. Looking out into California where we don't have cat areas and I’m thinking about wind now. Of course, you do have the quake. But other than that, property is flat and as opposed to what's going down. Casualty is still – there's lot of pressure to push it down on renewal. And so it’s kind of a little bit of a mixed bag there. But it's certainly not robust in terms of any kind of price increase. In the Northeast, the rates there are under pressure, particularly because of RMS 11 and particularly because all of a sudden people figured out that New Jersey does have coastline and there are people there and there are properties there. And therefore those prices probably are going to be moving up. There is plenty of capacity and if you have a fleet of properties and there have been some losses, those rates are going up. The rates in the casualty in the Northeast on wholesale are zero to maybe down 5% to up 5%. New York construction. Now if a New York contractor has to go from standard and non-standard increase on GL could be as much as 100%. So that's not so good. Our people think that the economy in the Northeast is starting to be a little bit up. The contractors, other than New York, the rates are flat to down 3%. Professional E&O, those rates can vary from as much as 5% to 10% up to that amount down. So, so much for brokerage and now let's move into program. We write a lot of professional liability all over the country. Now that’s other than that amount and these would be insurance agents and life agents and architects, engineers and lawyers and dentists, etcetera. And those rates don’t seem to be under upward pressure. As a matter of fact in lawyers, particularly a little larger law firm, those prices are going down maybe 9% to 10%, 8% to 12%. A little bit of that happening in the dental area, but not that much. In procure, the rates seem to be maybe down about 5%. Exposures maybe up about 2%. In the case of the something that I thought was rather interesting. We kind of follow up, as a harbinger of the economy, we follow the results of an operation that we have in St. Louis called PIP, Partial Insurance Plan. And so Partial Insurance Plan insures cargo risk for B to B, Business to Business, B to C, Business to Consumer, and C to C, Consumer to Consumer, and the shipment, the packages are limited to $25,000 in value. It can ship any tangible object other than money, ships or unset gems. And so in both January and December, the shipments for PIP were flat. Now, prior to that, for about five or six months, they had been ageing up. So don’t know what that means. Again, I mentioned the fact that the dental and the lawyers are moving a little bit from here to there in terms of the pricing. Let's move into services. Workers compensation, now that's a line that there is going to be more and more pressure on for several reasons. Number one, it has extremely long tail. For smaller risk bearers, who have been aggressive, who haven’t limited their ultimate loss by reinsurance, those tails are serious. So, as you know, we are not in the risk bearing business, nor are we going to get in the risk bearing business. But one of our TPAs, United Self Insured Services, which does TPA work in Florida, Virginia, Georgia, North Carolina, South Carolina, Alabama and a little in Kentucky, about 40% of that has been Florida. And so if you look at the little bit of segmentation as an example, let’s take tourism in those states. That’s up. These are payrolls now, not prices, these are payrolls. That’s up 2% to 3%. Construction is basically 0% to down a couple of percent, and so that I thought was kind of interesting. One other little bit of information that I might mention to you is that at a particular self insurance firm that is the largest writer of roofing workers comp in Florida, the payrolls today are almost one-third of what they were in '07. So that's a substantial difference. Public entities, we do have a goodly number of those. Workers comp payrolls, there is a small decline. Other lines, depending on where they are seem to be flat and there are some reductions in some of the revenue bases from those public entities because smaller entities cities, townships et cetera, are starting to share services which compresses a little bit the amount of premium developed. Now, sort of an off-side and to give you all an overview. In my opinion, this a very dangerous time for retail agents and brokers because there is pressure – more pressure from the nationals, a little less pressure from the regional, to push prices up and that's – and there are all of a sudden the pressure, pressure, pressure. The moment you relax, someone will come in and eat your lunch with a 10% reduction in premium and that's the same company that has just now told you they won't increase the price or they won't allow the price to be reduced. They’re increasing it 2% to 5%. Very, very dangerous time. And so I would say, A, the push to increase rate is intensifying. B, I would say that the economy has bottomed out in most areas. I would also say that non-cat areas and product lines that are mostly vanilla are still very, very competitive. There is a bit of information that we've been looking at for a while, and we have tried to look at a segmentation of our middle market P&C and to some extent this would apply also to employee benefits account. If you look at the accounts we have that have $50,000 or more in commissions. Now, if it's property and casualty that's probably a $0.5 million of premium. So you have some kind of context. Those accounts that have more than $50,000, they seem to be doing better. They’re coming out of the recession and they are starting to move. The ones that are smaller, less than $50,000, they're still flat or shrinking and struggling and this has something to do – it's impacted in some places by geography and the type of business, government or quasi-government, et cetera, but by a little bit of comparison that I have shared and I know Powell has shared in the past, if you look at our top gun Oregon, which is a report on all of our new business in the system for retail, in 2010 the average annualized new business commission was $13,243. In 2011 the same average commission was about $11,691. So these are on the smaller side. Now, one of the things that you must recognize is that the larger offices are writing out larger accounts and the smaller offices might have an average of maybe $6,000 or $7,000 in average commission. Now this is the annualized commission in the first year. It doesn't mean that’s the total commission in the account, because the first year we write X or three lines of coverage and then the next year we write more than that, and therefore it starts to move up. But we do have a substantial amount of our business that is less than $50,000 and that also is a place that the regional companies really do like to hunt because the loss ratios for a long period of time have been really very good. So another bit of information to put into your pipes and smoke it. Next, a little bit of information that I was surprised. According to the Atlanta Federal Reserve District and I think this was in a speech of the President of the Atlanta Federal Reserve and I think it was July, August or September of this last year, maybe it was October, the Atlanta Federal Reserve District is Louisiana, Mississippi, Alabama, Florida, Georgia and Tennessee and that Federal Reserve District every year since the Second World War, has in a recession, has led the rest of the country out of the recession and number one. This time we’re last. I think there are maybe 12 Federal Reserve Districts. So we’re running last. There is a tendency to reflect really Florida and Atlanta in many cases. But elsewhere in that area where there was a lot of home building. And so to synopsize my last thing that I'd like to mention to you, that I’ve been to this picture show before and so I was thinking this morning how many times have I been to this picture show since 1959. I think five times. This one is different. This one is different and so I think it is going to be more gradual, which is good for the consumer and good for the industry as opposed to bombastic as it sometimes has a tendency to be which calls on all kinds of other specters. So that’s kind of a potpourri of information and so, David, I'll ask you to open it up for questions.
Operator: Thank you. (Operator instructions). We’ll take our first question from Ray Iardella with Macquarie.
Ray Iardella – Macquarie Research Equities: Hey, how are you guys. So first question I guess on Arrowhead. Do you have the organic growth number for the fourth quarter?
Cory Walker: Well, I think what we might do is, we have both Scott and we have Chris here. So who would like to answer that? Chris?
Christopher Walker: Sure. Good morning, Ray. Our growth rate overall if we look at 2010 to 2011 was about 7.4%.
Ray Iardella – Macquarie Research Equities: Okay, that’s helpful. And then I guess some – maybe talking about the book, what percentage of the book of business is renewed on 01/01?
Christopher Walker: Of the Arrowhead book?
Ray Iardella – Macquarie Research Equities: Yes, of the Arrowhead book, sorry.
Christopher Walker: Really, it’s dangerous to speak in generalities obviously about the book of business, because we write so much different lines of business. We have work comp. We have our commercial property book, et cetera. So it’s pretty well blended throughout the year. Certainly the work comp book is the book that tends to fall on big anniversary days. So January is a big date, as you expect, July is a date that's big for work comp, et cetera. So it’s a dangerous way to say, but it’s fairly well blended. It varies by which specific line of business we are talking about.
Ray Iardella – Macquarie Research Equities: Okay, that’s helpful. I guess I’m trying to get a sense, since the transaction closed on January 9, whether or not any 01/01 renewals would be included in first quarter results?
Christopher Walker: Well, they will be. On the January book, we did have the pro rate, the revenue in January on 31 days and the rest of it will be in the first quarter.
Ray Iardella – Macquarie Research Equities: Okay, that’s helpful. And then I guess next is, could you guys comment on contingence going forward in the year? I know it's difficult to project out, but just give us a sense of where contingents might be going year-over-year?
Hyatt Brown: Well, that's a good question and it's kind of a guess. My sense and we've talked a lot about this is contingents probably will be down a little bit this year for the simple reason that loss ratios are going up, and we're not going to know that until much later in the year because our contingents come in February, March, April, and then they come in in July, and then they come in some in the last quarter. So my sense here is that they're going to be down because of loss ratios and also in the case of property, there has been a lot more properties that flowed into the non-standard, non-admitted market where we don't get contingents at the retail level. Now, how much is that reduction? I don't know.
Ray Iardella – Macquarie Research Equities: Okay. Thanks.
Operator: And next we have Adam Klauber with William Blair.
Hyatt Brown: Hey Adam, how are you?
Adam Klauber - William Blair & Company: Good morning, Hyatt. Great. Thanks. Could you give us some detail on why specialty had such a good quarter compared to last quarter? Sorry, special programs.
Hyatt Brown: You want to talk about that, Cory?
Cory Walker: Yes, I am. On the professional program, obviously…
Hyatt Brown: Special programs he said.
Cory Walker: Did you say special or you say professional?
Adam Klauber - William Blair & Company: I said special programs.
Cory Walker: Okay. On special programs. Well, we had – of course in special programs we’ve got the professional lines and the special programs line, and we had obviously Proctor. As I have previously said in the third quarter that the first quarter was going to be the first quarter and eight quarters that they're really apples and apples comparison. And so they were actually up almost 1.8 million by themselves and that is because they have been – as I previously said in another call, they've been writing a lot of new accounts. And so they are doing very well. In addition to that, we did have our public entity group had done reasonably well and then on top of that we have a group called Acumen Re that does some reinsurance and they had actually done well. So those three components.
Adam Klauber - William Blair & Company: Okay, that’s helpful. With Western still lagging somewhat, is that more rate or exposure? What's holding that back?
Hyatt Brown: I think several things. It's both, but when you get into Western you've got Las Vegas and you’ve got Phoenix and then you have Southern California area. Those areas and we did have a substantial book of contractors out there, Adam, that's still not real strong. So it will come back, but it's going to be a little longer and also it's very competitive. When I talked about Phoenix, Arizona and you’ve got $0.06 property rate and the fact that workers' comp is now going down a little, it's a tough market, but it will slowly get better.
Adam Klauber - William Blair & Company: Okay. And then also, in your initial remarks, Cory, I think you said earnings in the first quarter would be up maybe just a little. We would think with Arrowhead that you’d see some pretty good progress right away. Is there any reason that's lagging in the first quarter?
Cory Walker : Well, I think it's mainly not Arrowhead. I mean, they're coming in, but as Hyatt had mentioned, it's going to be very choppy and I think we do have still some challenges based on what we're seeing just on our budget in some of the retail side of the business. So we'll just see how it shakes out.
Adam Klauber - William Blair & Company: Okay. Thanks a lot for the help.
Operator: And next we have Sarah Dewitt with Barclays Capital.
Cory Walker : Hey Sarah.
Sarah Dewitt - Barclays Capital: Hi. Good morning. My first question is, why do you expect first quarter '12 EPS to be similar to 1Q '11 given that organic growth has been improving and margins are expanding?
Cory Walker: Well again, Sarah, basically what Hyatt was saying is that we do think first quarter is choppy and looking at what some of the fallout has still been last year. Our basic budget is showing us, from an earnings per share more flattish. I think that once you get past the first quarter, we feel good about the whole year. But I just think that first quarter is going to be more like the first quarter last year for generally the retail division still.
Sarah Dewitt - Barclays Capital: Okay. And then second, given your comments about the push to increase rates is intensifying and the economy is bottoming out. To what extent do you think you could return to positive organic growth in 2012?
Hyatt Brown: Well, good question. We sure as heck are going to bust our backside to do that. But it’s not done until it’s done. So when it's done, we'll announce it.
Sarah Dewitt - Barclays Capital: Okay. Great. Thanks for the answers.
Operator: And next we have Meyer Shields with Stifel Nicolaus.
Meyer Shields - Stifel Nicolaus: Thanks. Good morning all.
Hyatt Brown: Hi. How are you?
Meyer Shields - Stifel Nicolaus: I’m doing well. Yourself?
Hyatt Brown: Good.
Meyer Shields - Stifel Nicolaus: Can you quantify the contingent commissions associated with Arrowhead?
Cory Walker: The total amount?
Meyer Shields - Stifel Nicolaus: Yes, please.
Cory Walker: Last year $105 million. No, oh contingent. I thought you said commission.
Meyer Shields - Stifel Nicolaus: Oh no, I’m sorry.
Cory Walker: It was a little bit over $4 million.
Christopher Walker: On that too – this is Chris Walker. We’ve gone to more of a predictive revenue model. So we’ve taken some of the contingents out of it and taken standard commission on front steps. So the number is about $4 million.
Meyer Shields - Stifel Nicolaus: Okay, that’s very helpful. And Cory, you mentioned some stock grants that were given for Arrowhead and for some office leaders and I was wondering if you could quantify the impact on 2012 diluted shares?
Cory Walker: Right. We think that on that portion of it, it would be a little over $3 million hitting our books.
Meyer Shields - Stifel Nicolaus: Okay. Is it going to change the diluted share count or is it just the expense?
Cory Walker: Say that again?
Meyer Shields - Stifel Nicolaus: Will that change the diluted share count?
Cory Walker: No, not initially. Not until they actually are vested in it.
Meyer Shields - Stifel Nicolaus: Okay. Got it. Thank you very much.
Operator: All right. And next from Deutsche Bank we have Yaron Kinar.
Yaron Kinar - Deutsche Bank: Good morning. Can we talk a little bit about the national retail? I understand that clearly there still are some headwinds, but then again, we are seeing exposures general up in the U.S and we are seeing rates slightly improving. So does that simply mean, going back to your comment earlier, that the book of business in national is much more small business oriented than the rest of your book?
Hyatt Brown: Well, it’s all kinds of things, depending on where you are and what's the size of the office and etcetera. But here is the situation. Our business is much more vanilla oriented than maybe some other businesses. We don’t have a lot of marine business as an example. That’s a very specialized area. And so when you get in the vanilla area and you get in businesses that are less than $50,000 in commissions, that's a happy hunting ground for regional companies. And there are companies that are not publicly owned, they're privately owned, they're mutual and self insured funds all over the United States. And so we represent many of those and anybody that's competitive, we always try and represent them. So I think there is more pressure on our book, plus the fact that we do have a pretty good slug of our business in the southeastern part of the United States and that's also recovering less rapidly than it has in the past. All of that will ultimately fix itself, but we certainly don't want to have people getting a very robust, rosy, sanguine attitude when we know that over the next three and six months, there is going to be a lot of bloodshed because you see with a risk bearer and you listen to the national risk bearers, if they renew 82% to 85% of their business, they're happy. Well, if we renew less than about 93% or 94% of our business, we're not very happy. And therefore, we’ve got to do whatever we’ve got to do to protect our customers, to protect our book-of-business. And I think we're in just a more competitive area.
Yaron Kinar - Deutsche Bank: Okay. And then maybe changing gears a little bit. Cory, I think you mentioned that you don't take the change in estimated acquisition earn-out payables as a number to take too seriously. And certainly, it's true for any one given quarter, but then if you look at the last two years, it does seem like there is a negative trend there. How much do you read into that in terms of the success of M&A and how do you think of that going forward?
Cory Walker: This is actually a very important point and thanks for teeing up that question, because I think it's important to understand. What this number is coming from is that every time we make an acquisition, there's an earn-out component to it. What we have to do is stand on the date of acquisition and look out three years and come up with a prediction of how much do we think we're going pay them out on earn-out. Is it zero? Could it be $5 million? And we have to predict that and we use kind of a bell shaped curve and have all these projections at it. The acquisition could do well. Anything over zero, they're doing well. What this line does, it simply measures how good of a predictor I am. That's all it is measuring because we could say okay, we don't think we're going to have any earn-out and we’ll book it at zero and of course any earn-out that they have would then go through the P&L. So it is not a reflection at all at how well they're doing, because as long as they're doing better than zero, they're doing well. And so that's why I’m saying plus and minus is not even an indication of how well they're doing. It’s only how well did you predict? And so that's why I think I keep using the word ridiculous and it is. It is a capital transaction and yet they are forcing us to put it in as a P&L as if it’s some kind of earnings culmination process and it's not. And that's why I warn you that that's what why we have it in a separate line item, so you can't just ignore it. The fact is most of our acquisition have done well and they've all pretty much received earn-out. It’s just that sometime we think they are going to do better than they actually have, but it's clearly not an indication of whether they're doing well or not. Do you understand what I am saying?
Yaron Kinar - Deutsche Bank: Yes, I do. Thank you very much. Thanks for taking my questions.
Hyatt Brown: Hey David, we can only take one more question because it’s 9:03 according to the New York Stock Exchange.
Operator: Okay. We’ll take our final question from Matthew Heimermann with JPMorgan.
Hyatt Brown: Hey Matthew.
Matthew Heimermann – JPMorgan: Hi. Nice to hear your voice. Actually just one question in the interest of time for Cory. You mentioned in the prepared remarks some of the benefits you’ve been seeing in terms of decreases in the underlying expense base because of staff attrition. Other efforts on rents, things like that I'd just be curious, if it feels like we are transitioning to an environment where economic prospects are a little better, potentially you’re getting a little bit of – you could get a tailwind at some point from rates. Some of those actions, bell tightening actions you've taken over the last couple of years. Is it possible we may see you actually sell some of those spaces that you let, that went unfilled for a while? Things like that that might change the underlying push in expenses. I just want to get a sense of how to think about leverage vis-à-vis revenue in other words.
Cory Walker: Matt, that’s a good question and I think the point is that obviously the last three or four years have been incredibly difficult because of the evaporation of revenue and it forced every one of our branches to really analyze every aspect of their expenses and they’ve become more efficient and sometime the person retired and they decide not to replace that person right away and they got together as a team. Well, a lot of times what happens is people just realize that they can be more efficient. So the answer is that overall we are significantly more efficient today than we’ve ever been. Will we actually start to replace when our revenue start to move up and the headwinds are behind – the wind is in our sail so to speak. They may end up hiring back a account executive or account manager down the road. But it's going to be a very gradual process. The point being is that we have a very good leverage built into our model and the vast majority, the net increase that comes about simply because of our clients exposure units increase, will fall to the bottom line, 60% to 70%. Now, and it will be a stepped approach, but it will be very gradual and I think you’ll see, even like in this situation where we still had negative growth, our margins increased and I think you’ve seen that demonstrated quarter after quarter in our model and it will continue to be fishy. We will not lose that efficiency.
Hyatt Brown: I think Matthew, to piggyback on that, we are more efficient today than we were two years ago, three years ago and we found that we can do things a little differently and still effectuate the same amount of renewal coverage, etcetera. So we are kind of bullish about the future in that respect. But thanks for the question and thank you all very much and good day and good luck. Thanks, David.
Operator: That does conclude today’s conference and we thank you for participating.